Operator: Good afternoon, welcome to the Wireless Ronin Technologies’ First Quarter Earnings Call. My name is Lilly, and I will be your conference operator this afternoon. Before we begin today’s call, I would like to remind everyone that this call will be available for replay starting later this evening. A webcast replay will also be available via the link provided in today’s press release as well as available on the Company’s website at wirelessronin.com. I would now like to turn the call over to Ms. Erin Haugerud, Wireless Ronin’s Manager of Communications and Investor Relations. Please go ahead ma’am.
Erin Haugerud: Thank you and welcome to Wireless Ronin’s first quarter 2013 earnings call. With me today are Scott Koller, President and CEO and Darin McAreavey, Senior Vice President and CFO. Following Scott’s opening remarks, Darin will review our financial performance for the quarter and turn the call back over to Scott for an operational update and business outlook. Then we will open up the call to your questions. To access today’s webcast, please go to the Investor Section of the corporate website at wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements made under the Safe Harbor Provision of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainties to our forward-looking statements. Risk and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, including those set forth in the cautionary statements and the Company’s Annual Report on Form 10-K filed with Securities and Exchange Commission on March 1, 2013. In addition, our comments may contain certain non-GAAP financial measures including non-GAAP operating loss and non-GAAP operating loss per share. For additional information, including reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provides useful information and why we use non-GAAP measures, please see the reconciliation section of our press release, which appears on our corporate website. Now, I’d like to turn the call over to President and CEO, Scott Koller. Scott?
Scott Koller: Thank you, Erin. Good afternoon, everyone, and thank you for joining us on today’s call. During the first quarter, we continued to focus on building recurring revenue most aggressively on our sales pipeline and further enhance our digital marketing technology offerings. In Q1, we released our fourth generation of RoninCast software, designed to broaden our marketing technology reach, increased functionality and improve the customer’s experience while reducing installation and operating cost. The first quarter also highlighted key wins including a major international food service provider with more than 2,000 locations to deploy digital science solutions to new franchisee locations. As well, inflected by Cora Company, the leading kitchen and bath products manufacturer to manage branded video wall content at its corporately owned design centers. From a financial perspective, our shift to a higher margin software and services business model continued in Q1. This is reflected by another strong 50% plus gross margin performance in our growing recurring revenue base. In fact, our first quarter recurring revenue percentage reached a record 35%, a total revenue up from 26% in Q1 2012. I will talk more about our operational highlights and business outlook in a few minutes, but first I would like Darin to take us through the financial performance for the quarter. Darin?
Darin McAreavey: Thanks Scott, good afternoon everyone. Now, to our first quarter financial results for 2013. Revenue was $1.4 million as compared to $1.8 million in Q1 of 2012. The decrease was primarily attributable to pure Chrysler iShowroom development and content orders. Recurring revenue from our hosting and support services increased 6% to $495,000 or record 35% of total revenue. This compares to $466,000 or 26% of total revenue in Q1 of 2012. The increase in recurring revenue was driven by a continued expansion of our support services through our network operation center. Gross margin was $746,000 or 53% of total revenue as compared to $949,000 or 54% of total revenue in Q1 of 2012. The one point decrease in gross margin percentage was primarily was due to lower hardware margins in Q1 of 2013 partially offset by an increase in gross margins and our services revenue. We see continued growth in our recurring, hosting as to core revenue from our growing installed base. Our ability to maintain these levels of gross margin on a percentage basis can be impacted by shifts in our sales mix. However, we believe that over the long-term our gross margin on a percentage basis will continue to increase as our recurring revenue grows. Total operating expenses in Q1 of 2013 decreased 22% to $2.2 million from $2.8 million in the same year ago period. We continue to remain focused on effectively managing our cost and overhead. GAAP Net loss totaled $1.4 million or $0.27 per share, this is an improvement from a GAAP net loss of $1.8 million or $0.40 per share in Q1 of 2012. The year-over-year improvement in our GAAP net loss was primarily due to decreased operating expenses and effective cost management. Non-GAAP operating loss which we define as GAAP operating loss minus stock based compensation depreciation expense, severance cost and other one-time charges totaled $1.2 million or $0.23 per share. This was an improvement of about $300,000 from a non-GAAP operating loss of $1.4 million or $0.31 per share in Q1 of 2012. For further discussion about how our use of our non-GAAP operating loss and a reconciliation to GAAP can be found on today’s press release available on our website at www.wirelessronin.com. Now turning to the balance sheet, at March 31, 2013 we had $3.1 million in cash and cash equivalents which compares to $2.3 million at the end of the prior quarter. At the end of both periods we had an outstanding balance of $400,000 on our line of credit with Silicon Valley Bank. The primary increase in cash was due to the net proceeds from the $1.4 million registered direct offering we completed in March of this year. Subsequent to the end of the quarter, we received an initial payment from the licensee of our RoninCast software totaling $750,000 which increased our cash balance in the current quarter. Scott, will provide more details about this new relationship. This completes my financial summary. For a more detailed and complete analysis of these results, please reference our forthcoming Form 10-Q. Now I would like to turn the call back over to Scott to provide an overview of our operational activities and outlook. Scott?
Scott Koller: Thanks, Darin. In addition to effectively managing costs and improving operational efficiencies, we continue to make significant progress diversifying our pipeline and advancing our leading technology offerings. The release of our new RoninCast 4.0 software in April demonstrates our commitment to developing proprietary IP that empowers our customers with unmatched digital marketing technology capabilities, given a lighter hardware and bandwidth requirements we estimate that RoninCast can substantially reduce a customer’s initial investment and resulting in a reduced payback period. We believe RoninCast 4.0 software continues to set our digital marketing solutions apart from the competition paving way for broader adoption by existing customers and generating new customer wins. The release of RoninCast 4.0 software also aligned perfectly with the release of Samsung’s new Open Source Digital Signage platform. Our software technology when coupled with Samsung’s new product-line can provide significant advantages for the end-user, including lower costs, simplifying installations, improving up-time and ultimately improving the customer’s ROI. The combined offering further simplifies deployment and ongoing management, breaking down barriers and opening the fields to an even larger universe of potential users. We believe that Samsung’s greater commitment to Digital Signage technology and a noticeable uptick we’ve experienced in RFP activity, both point to accelerate industry adoption. In the first quarter, we were selected by an international food service provider to deploy our Digital Signage Solutions to its new franchise locations. This customer plans to open approximately 300 locations this year and require these locations to install our digital menu board and promotional board systems. As part of the agreement, they have also agreed to market our Digital Signage Solutions to its 2000 existing franchise locations. We have been working closely with their Regional Sales Managers to educate them on how Digital Signage offerings can drive sales. To date, we have installed the first two locations and have prepared demonstration kits to use at five upcoming trade shows where our customer will actually market solution to their franchisees. In our automotive vertical, we received more than $200,000 in additional integration and content work from Chrysler in Q1. A majority of this work will be completed in Q2. These follow-on orders demonstrates Chrysler’s continued confidence in our digital marketing solutions and that our products and services bring value to consumer’s experience. Additionally, our team has worked closely with Chrysler to launch its 2013 branding program featuring the iShowroom tower. Chrysler’s business centers will sell the branded program components including iShowroom to individual dealerships. We expect to see new orders from this program in the second half of the year. The breadth of the iShowroom program for Chrysler still serves as a prime example of our integrated marketing technologies platform, iShowroom has evolved to meet the needs of Chrysler and its dealers for more than 10 years, which is why Chrysler continues to invest in the future of this valuable sales tool. In our retail vertical, as I mentioned at the top of the call, Cora Company, the leading kitchen and bath products manufacturer deployed RoninCast to manage its brand video wall content and its corporate owned design centers. Another win, was with Thomson Reuters, which deployed the RoninCast powered Thomson Reuters Knowledge Direct Digital Signage at Charles Schwab’s newly Milo branch in New York. This solution features a 58-foot ticker displayed providing current stock prices with associate company logos, top news headlines and Charles Schwab branded content. We look forward to continue to our work with Thomson Reuters’ sales teams to further penetrate this market opportunity. As we continue to deploy our interactive media technology and as these customer updates demonstrate, we are increasingly confident in our ability to enhance the customer experience and increase loyalty and drive new business. We recently entered into an exclusive licensing and services agreement with Southern California based Delphi Display Systems, a leading manufacturer of outdoor LCD based display systems to write integrated technology solutions to the QSR market. As part of the agreement, we granted Delphi an exclusive license to market RoninCast software to the QSR and gas pump topper markets, areas in which Delphi has a tremendous presence. Delphi agreed to pay a minimum of $2 million over the next five years, of which $750,000 was received in April of 2013. Delphi will use our 24x7 network operations center exclusively to host its digital science applications. We hope to work with Delphi to develop launch to comps received more than the $2 million combined minimum for software licenses and services. Delphi will integrate RoninCast software with its insight engage Insight Engage drive-through technology platform to provide a full service, end-to-end customer engagement solutions in the QSR market. The combined solution will address the needs of Delphi’s global installation base of more than 30,000 customers, including large franchisees of major QSRs, as well as Wireless Ronin’s current pipeline of potential customers in the QSR target market. We believe this relationship will be truly transformative for Wireless Ronin by extending the sales reach from RoninCast software, enabling us to focus our resources on our growing pipeline of opportunities, of the automotive, retail, food service and fast casual markets. In closing, I would like to emphasize a few key points. First, we continue to make tremendous progress in advancing our technology and believe our RoninCast 4.0 will drive broader adoption by existing customers and generate new customer wins. Secondly we are confident that Wireless Ronin offers industry leading technology into world-class relationships to expand market reach and capitalize on tremendous industry opportunities. In parallel, we continue to work diligently on cost control and operating efficiencies, in fact these initiatives allow us to decrease our quarterly operating cash burn to less than $600,000 in the first quarter, down from $1.3 million in Q1 last year despite the lower year-over-year revenue. And finally, I think it’s important to our investors to know that we are not satisfied with our Q1 financial performance. Today, with our current pipeline and backlog, coupled with our growing recurring revenue and optimized cost structure, we are confident that Q2 will more accurately reflect the progress we are making. I want to thank our investors for the continued support and patience as we continue to progress on growing Wireless Ronin as the leading digital technologies provider. Now, with that, we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you sir. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from the line of Doug Pritchard with Feltl & Company. Please go ahead, sir.
Doug Pritchard – Feltl & Company: Hi Scott, and Darin.
Scott Koller: Hi Doug.
Darin McAreavey: Hi Doug, how are you?
Doug Pritchard – Feltl & Company: I’m good. I have a couple of question I’d like to ask of you Scott. You recently signed an agreement with Delphi precipitated a $750,000 receipt. How do you treat that as it comes in to your firm?
Darin McAreavey: I can actually take that one Doug, this is Darin. So, since we signed that contract in April, we’re actually taken the revenue to be upfront $750,000 in the second quarter of this year. And then the remaining roughly $1.3 million to under the contract over the next five years will be recognized at the end of each year, when each of those respective payments become due. I hope that answers your questions.
Doug Pritchard – Feltl & Company: Does it just drop to the bottom line and topline revenue?
Darin McAreavey: Correct.
Scott Koller: Correct.
Darin McAreavey: Yeah, we’ll take it as revenue, topline revenue.
Doug Pritchard – Feltl & Company: The next question that I have is with your association with Delphi. Is there any progress on that at this state?
Scott Koller: Yeah Doug, I’ll take that. We’re very early in the relationship. Well, actually the transparency of the relationship, we’ve been working together for quite a while to put the partnership together. And yes, we are – we do have traction across the board with Delphi and with their customer base and with potential customers we have. I think it’s important to note that our sales force have been trained on their product line, their sales force has been trained on our product line. And so, I think we have some integration work to get done, but yes, we’re already starting to see some traction with the relationship.
Doug Pritchard – Feltl & Company: Okay, thank you very much.
Scott Koller: Thank you Doug.
Darin McAreavey: Thank you.
Operator: (Operator Instructions). Our next question comes from the line of Tom Pierce with Clements Capital. Please go ahead.
Tom Pierce – Clements Capital: Good afternoon guys.
Darin McAreavey: Hi Tom.
Scott Koller: Hi Tom, how are you?
Tom Pierce – Clements Capital: Good. I was happy to hear you built your relationship with Core Products. I assume that these are probably would be a key item in the store, the reason I say that is, the sales were flat and we didn’t think a better position with where we drive the products and stream.
Scott Koller: Yeah, obviously the work we’re doing with them right now and their design centers is to promote the products, very Chrysler like product information center along with other just pure marketing initiatives. But absolutely we have a complex product line, a large breadth of product line and we’re helping with them in that process with technology.
Tom Pierce – Clements Capital: Very good. Well, I’m glad to hear that. Thank you.
Scott Koller: All right, thank you.
Operator: Our next question comes from the line of Jack Frid with Discovery Investments. Please go ahead.
Darin McAreavey: Hello Jack.
Operator: Mr. Frid, your line is open. Please go ahead.
Darin McAreavey: Hello?
Jack Frid – Discovery Investments: Can you hear me?
Darin McAreavey: Yeah, hi Jack.
Scott Koller: Hi Jack, how are you, good afternoon.
Jack Frid – Discovery Investments: Okay, there we go, okay, sorry about that. Just on the Delphi I got a couple more questions. How did that come that relationship come to the company?
Scott Koller: We’ve had a relationship, we’ve known them for a long time. We’ve always had a great mutual respect. Delphi does a tremendous job, historically services QSR, outdoor order confirmation in other systems such as headsets and drive to efficiency technology. I think the one component they were missing in their offering was to be able to bring us a complete solution to their client base was the software aspect they have. First-class hardware, they have all the other integration done and by implementing Ronin software and integrating it with their product line, they really, truly have a full service solution. So we’ve known each other for a long time. And it just came about that we would complement their solution and reinforce it and then they would provide a tremendous sales reach for us, in a space they do very well in.
Jack Frid – Discovery Investments: And the 30,000 customers that I take at that means that they have 30,000 to what’s our restaurants that they’re in?
Scott Koller: I think that’s a better description, yes.
Jack Frid – Discovery Investments: Okay. What is the potential then for Ronin on each, is there an average, I mean, licensing fees and recurring revenues on 30,000 customers?
Scott Koller: Yeah, yeah, each one will be – historically as you followed us, each one will be unique. There will be outdoor applications, there could be promotion only, there would be indoor applications, there could be a fully menu board and promotion. So each one of them could be just a different DNA if you will, a different footprint. However, I mean, it is a primary focus of Delphi to take their – now full product line to their existing customers and new customers and seek adoption and traction. So, it really varies by customer. Would this, the customer that you were referring to before with the 2,000 QSRs, 2,000 stores like they get them suffered the next opportunity?
Scott Koller: Yes, that’s a separate endeavor that’s a client we had prior to launching the relationship that client does not have drive-through. It is indoor application only in menu board and promo. So it is – when we say that this allows Delphi to focus very hard on QSR and get on topper verticals, it allows us as well to focus on retail, the food service beyond QSR and drive through and automotive and plus the financial work we’re doing with Thomson Reuters. So, it really is the best of our both roles for us.
Jack Frid – Discovery Investments: Does Delphi participate in the recurring revenue on a monthly basis as customers are signed up or do they participate in the licensing fee?
Scott Koller: Yeah, if you look at the agreement, Delphi would be providing tier-1 support for their clients which will drive recurring revenue for them, with us providing tier-2 and tier-3 support during normal business hours and then full support in after hours, so yes, they do have a recurring revenue component as well.
Jack Frid – Discovery Investments: Okay. And one more thing, an agreement like this, are we working in other areas despite a few more licensing of our technology with companies that maybe have the connections in various industries besides the QSR?
Scott Koller: Absolutely, yeah. Yeah, absolutely, if it is a vertical outside our current reach or our current focus and we can find a strategic partner and get a win-win like we did with Delphi, then absolutely that would be of interest to us. And we are actively looking for partners in those types of verticals.
Jack Frid – Discovery Investments: Okay. I’ll check off for now.
Darin McAreavey: All right.
Scott Koller: Jack, thank you very much.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Kevin Fitzpatrick, Private Investor. Please go ahead sir.
Kevin Fitzpatrick – Private Investor: Yes Scott, could you provide some guidance going forward from here?
Scott Koller: We’re not going to provide any guidance Kevin. However, I think what I did allude to in the call was that – with our backlog, with our growing recurring revenue, specifically being able to recognize the Delphi relationship in Q2 and with what else we have in the pipeline. We think that Q2 will be a good indicator and a better indicator of the progress the company is making for investors. But as far as specific guidance, no, we’re not going to issue any specific guidance.
Kevin Fitzpatrick – Private Investor: All right, thank you.
Scott Koller: Thanks Kevin.
Operator: And we have a follow-up question from the line of Jack Frid with Discovery Investments. Please go ahead sir.
Jack Frid – Discovery Investments: A thing on the FDA, I guess, like we’re at that – I suppose could be coming out in the spring. This is spring, we’re already here regarding the calorie count. Is there anything that you referred or kept here?
Scott Koller: Yeah, I think the calorie count situation is exactly where it has been. It’s coming, everyone knows it’s coming. That is not going to be retracted, in fact we’re hearing the other types of information such as Allergens are going to be need to be also addressed in some kind of format. But the calorie information isn’t coming. However, we’re sort of still the standstill of the government actually giving their final, their final mandate on what it must look like. So, at this point in time, when we talk to clients there is none of them that think that there is not going to be a requirement for calorie information in the future. However, the Pachuta form, the days have slipped again and we’re still waiting to hear officially from the government. But I don’t think anybody in our industry or anybody in QSR Food Service believed that this requirement is going to go away.
Jack Frid – Discovery Investments: Okay, that’s fine. Thank you.
Scott Koller: Thanks Jack.
Operator: Our next question comes from the line of Dwayne Anderson with First Discount Brokerage. Please go ahead, sir.
Dwayne Anderson – First Discount Brokerage: Hi guys, I had a couple of questions about Delphi. Delphi is private and nobody seems to know in our Minneapolis area what their sales are, are they profitable. From their picture on their website it looks like they are working on some kind of a warehouse deal. How big is the company?
Scott Koller: Well, they’re private. So I mean, we’re not this close to update, that’s Delphi’s information, however they are, profitable, they’ve been successful for many years. They do have major clients and an installed base of 30,000 locations. But they are a private company and I’ll respect that. But they are not a five-by-night company, by no means and they’re not working out of warehouse. They are very reputable in the industry. If you talk to QSR people they will know of Delphi. And that’s about as much as I can elaborate on that.
Dwayne Anderson – First Discount Brokerage: How about Buffalo Wild Wings any more comment about that under your progress with them?
Scott Koller: No, we continue to be engaged in Buffalo Wild Wings on several endeavors and several pieces of technology. As we’ve said before, we have over 50, almost 60 now installed with one application. It doesn’t install with another one and continue to do work for them. But there is nothing else to elaborate at this point in time, I apologize to that but at this point in time we’re not in a position to talk anything further.
Dwayne Anderson – First Discount Brokerage: My last question, do you have a marketing key-up of about $9.3 million as of the close today. If Delphi was so interested in your software, why wouldn’t they do a tender offer for your company?
Scott Koller: Well, that’s a question you could ask Delphi. But at this point in time, our marketing cap of $10 million and what their specifics needs were, their specific needs were to have a piece of software to couple with their technology and take it to QSR and to not own a company that is servicing outside their primary focus, which is a lot of time where we spend on automotive, finance and retail. So, the relationship that they were seeking was to build out their product line and define a partner that could help support them and do that and we satisfied that endeavor and they did do quite an extensive search. But, with us being a public company, it’s not as simple as just as buying us, so there is some – there is some technical things they have to get to but at the same time they have specific need, we fill that need and we’re able to put together a positive relationship.
Dwayne Anderson – First Discount Brokerage: Okay, thank you.
Scott Koller: All right. Thank you.
Operator: (Operator Instructions). Our next question comes from the line of Tom Pierce with Clements Capital. Please go ahead sir.
Tom Pierce – Clements Capital: Thank you. Just one other question. You know a name from the past that you haven’t heard much probably recently is KFC, can you see anything going on there?
Scott Koller: Yeah. Absolutely, in fact we’ve been very active with KFC, as everyone has been watching the commercials at a very big launch in the first two weeks of April of their boneless product line, original recipe boneless product line. Prior to that launch, KFC had been operating on our older legacy platform RoninCast 2.42. Prior to that launch we upgrade and we’re compensated to do so upgrade all of their existing install with our new software. In addition, the content management of the system had been a split before with us really managing the help to the network. But they’re ad-agency pushing the content, controlling the content. They’ve contracted us to take complete content management over, where we get the content we manage it. So it was an extremely successful upgrade, extremely successful push of the software and the new content. So, I was just down in Louisville, I had a great meeting with them and they were very, very pleased with how that went. I think it’s important to note that KFC still is a major supporter of Digital Signage, they have had other operational needs that they needed to address as they work on improving sales and continuing to service their franchisees in an appropriate way. However, they are still very vested in Digital Signage and I think that was exemplified by their upgrading of their system and turning over the management to us. So, it was successful and we look forward to continuing our relationship with them and hopefully getting to one point in time where this becomes a much bigger endeavor.
Tom Pierce – Clements Capital: Okay. Thank you very much.
Scott Koller: Thank you, Tom.
Operator: And our next question is a follow-up question from the line of Jack Frid with Discovery Investments. Please go ahead sir.
Jack Frid – Discovery Investments: Reuters, you were indicating above Charles Schwab, it seems like we had Reuters here as a partner for a long time. And it appears like things at least what’s come out them moving a little slower than we all were. I thought or at least I had thought can you share with us, what’s going down there?
Scott Koller: Sure, yeah, sure. Our relationship for a very long time with Thomson Reuters was to their Marketing Communications Group. The transition over to wealth management and becoming an actual product line that they go out there and sell and market and drive revenue, happens about year and half ago now I believe. In addition, there has been some changes at Reuters, key players that we deal with have turned over. However, the product line and our product lines at Thomson Reuters were given a hard look at. This product line is somewhat good. They are still continuing to take it and market it. However, it has been a slower machine to get rolling then we originally anticipated. But you can see by the work of Charles Schwab and by other lot of international interest we have that they continue to drive it. But there has been a lot going on at Thomson Reuters as well but we continue to be a vendor, they continue to be a great partner. And work at Schwab although, everything has been slower than anticipated shows that they continue to push the product line.
Jack Frid – Discovery Investments: Besides Chrysler, can you talk about some other potential, are we working with other auto manufacturers?
Scott Koller: Yeah, we mentioned before that we’re working with other auto manufacturers, I think specifically we’ve brought up that New Signed Canada has been an install. And we continue to work very aggressively on automotive, in fact we just did a direct marketing campaign to 13 of the top OEM and manufacturers in automotive. And so it becomes a very big push for us and we do have interest split up. Outside the Chrysler there is a lot of interest. There is relationships that are forming and have, are starting to mature to a point where we think we’ll be able to see revenue from it.
Jack Frid – Discovery Investments: Okay. And can you just kind of give us an update on ARAMARK also?
Scott Koller: Yeah, ARAMARK continues to be a great customer, very supportive of us. We’ve mentioned on the last, in the calls and the work we’ve done with Boston University and other things to ARAMARK. We continue to grow the product line with them. We do believe that there are opportunities within ARAMARK right now to accelerate that growth and we are actively working very hard on those opportunities.
Jack Frid – Discovery Investments: Okay, thank you.
Scott Koller: All right. Thanks.
Operator: Thank you. (Operator Instructions). At this time, this concludes our question-and-answer session. Thank you for joining us today for our presentation. This concludes today’s call. You may now disconnect.